Operator: Ladies and gentlemen, thank you for standing by. My name is Barvesh and I'll be your conference operator today. At this time, I would like to welcome everyone to the eBay Q3 2023 Earnings Call. At this time, all lines have been placed on mute to prevent any background noise. After the speaker's remarks there will be a question-and-answer session. [Operator Instructions]. Thank you. I will now hand the call over to Mr. John Egbert, Vice President of Investor Relations. You may begin your conference.
John Egbert : Good afternoon. Thank you all for joining us for eBay's third quarter 2023 earnings conference call. Joining me today on the call are Jamie Iannone, our Chief Executive Officer, and Steve Priest, our Chief Financial Officer. We're providing a slide presentation to accompany our commentary during the call, which is available through the investor relations section of the eBay website at investors.ebayinc.com. Before we begin, I'll remind you that during this conference call we will discuss certain non-GAAP measures related to our performance. You can find the reconciliation of these measures to the nearest comparable GAAP measures in our accompanying slide presentation. Additionally, all growth rates noted in our prepared remarks will reflect organic FX-neutral year-over-year comparisons, and all earnings per share amounts reflect earnings per diluted share unless indicated otherwise. During this conference call, management will make forward-looking statements, including without limitation statements regarding our future performance and expected financial results. These forward-looking statements involve known and unknown risk and uncertainties. Our actual results may differ materially from our forecast for a variety of reasons. You can find more information about risks, uncertainties, and other factors that could affect our operating results and our most recent periodic reports on Form 10-K, Form 10-Q, and our earnings release from earlier today. You should not rely on any forward-looking statements. All information in this presentation is as of November 7, 2023. We do not intend and undertake no duty to update this information. With that, I'll turn the call over to Jamie.
Jamie Iannone: Thanks, John. Good afternoon, everyone, and thank you all for joining us today. Our teams delivered solid results during the third quarter. We generated gross merchandise volume of approximately $18 billion, while revenue grew 4% to $2.5 billion. We delivered non-GAAP earnings per share of $1.03, up 3%, while returning over $780 million of capital to shareholders. We achieved these results despite continued challenges in the global macro environment. Inflationary pressures and rising interest rates continue to weigh on consumer confidence and pressured demand for discretionary goods. As Steve will discuss in greater detail, we've observed softening consumer trends to date in Q4, and particular challenges in Europe, suggesting we may see a more muted seasonal uptick over the holidays. We are focused on controlling what we can control, being prudent about our costs, leaning into operational efficiencies, and continuing to drive innovation for our customers. Last quarter, I discussed our vision of reinventing the future of e-commerce for enthusiasts, which is focused on three strategic pillars; Relevant Experiences, Scalable Solutions, and Magical Innovation. And I'm pleased that we made meaningful progress against each of these pillars during Q3, which I'll discuss in greater detail. I'll start with our first pillar, relevant experiences. Our relevance in focus categories continues to drive underlying growth in our business, and we've observed a meaningful improvement in our growth relative to the market in every category we've invested to date. Focus categories grew roughly seven points faster than the remainder of our marketplace in Q3. Year-to-date, our focus categories have grown at approximately 4% year-over-year. For context, we estimate market rates of growth in those same categories were in the low single digits on average during the first half of 2023, as several of these categories are comprised of highly discretionary goods, which have been more acutely impacted by the challenging macro environment. We continue to push the envelope of innovation in motors, parts and accessories, or P&A, by developing features that enhance our customer value proposition. These investments have fueled mid-single digit GMV growth for P&A for three consecutive quarters, which is in line with industry growth for this segment of e-commerce in our largest markets. The eBay Guaranteed Fit program has contributed to this momentum by delivering a game changing level of trust. This program enables tens of millions of P&A shoppers to buy with confidence, knowing their auto parts will fit or they'll receive their money back, which has yielded a measurable uplift in conversion. Additionally, we have not observed a material impact on product returns, as our fitment checks have reduced the likelihood of buyers receiving a part that does not fit their vehicle. Given the success this program has had in the U.S., we were incredibly excited to roll out similar programs in the UK and Germany during Q3, where our unaided awareness among P&A shoppers is significantly higher than it is in the U.S. The Guaranteed Fit program is underpinned by multiple years of investment in P&A technology, including our acquisition of myFitment. We have been steadily onboarding sellers into the myFitment toolkit, to enhance their P&A listings with more robust fitment data, which improves findability for parts and protects buyers from unnecessary returns. By the end of Q3, roughly two-thirds of large U.S. P&A sellers have adopted the toolkit. On average, sellers are observing conversion uplift of double digits or higher for listings enhanced by this toolkit, driving incremental GMV for eBay. In early October, we reached a major milestone with 2 billion pieces of fitment data added to live listings using myFitment's technology. While this is outstanding progress, we continue to invest in simplifying the onboarding process, making it faster to import listings, and identifying more vehicle matches for our more than 550 million live P&A listings. During Q3, we continued to deliver relevant experiences for the collectibles category across a number of areas. We generated over $10 billion in GMV from collectibles over the last 12 months, and more than one in four eBay buyers purchased at least one collectibles item over the past year. These buyers carry some of the highest conversion, repurchase, and retention rates on eBay. And they are also among the heaviest cross-category shoppers on our platform, which supports our other categories. Our goal is to remain the world's most loved destination for passionate collectibles enthusiasts, providing access to the most compelling assortment of inventory across multiple categories in a high-trust environment. In service of that vision, during Q3 we launched direct submissions to the eBay vault. This enables any U.S. resident to send in trading cards valued at $250 or higher from their personal collections to the vault, even if they were not purchased on eBay. In July, to coincide with the National Sports Collectors Convention, the industry's biggest event, we announced Vault Enhanced Submission, which now enables us to gather large amounts of high ASP cards in person at tent pole events attended by top collectors. During one weekend at the National Loan [ph], we added tens of millions of dollars of assets under management to the eBay vault, including a signed Jackie Robinson card valued at approximately $1 million. During Q3, we also wrote out a revamped condition grading system for trading cards, which greatly improves transparency for collectibles in this category. New listings now carry more precise details, including whether a card has been professionally graded and the numerical grade, or one of several predefined card conditions. Existing listings will be also migrated to the new standard over the coming months. Sellers have been asking us for this feature for some time, and we believe it will drive improved trust for buyers, better and more consistent price realization for sellers, as well as more robust data and insights around individual card values for eBay. In response to our growing community of collectors and enthusiasts, last year we introduced eBay Live, an interactive live shopping experience within the eBay app. This feature marries eBay's unique scale with an engaging shopping experience that we believe enthusiasts across the collectibles, luxury and fashion categories are increasingly seeking. Buyers can interact with influential sellers and check out in real time without leaving the stream. And sellers have loved this tool as they can move items at scale and increase their sales velocity, while listing items as fixed price or as extended auctions. eBay Live is currently in beta, but we continue to expand its availability to more sellers and categories. While we've been thoughtful about the pace of onboarding as we fine-tune the beta experience, Q3 marked an inflection point as we hosted over 1,000 live events, saw our millionth buyer tune in, and grew GMV from eBay Live by 4x quarter-over-quarter. Now, let me turn to the second pillar of our evolve strategy, Scalable Solutions. We're pleased with the progress we're making with our eBay International Shipping Program or EIS, which makes cross-border trade more seamless and cost-effective for sellers and buyers. We continue to scale EIS during Q3 and now have over 400 million live listings from U.S. sellers shippable to international buyers in more than 190 countries. Sellers have had an overwhelmingly positive reaction to the new program, with customer satisfaction rates approximately 30 points higher than the previous global shipping program it replaced. In October, we launched Combined Shipping for EIS, which allows buyers to order multiple items from an international seller and pay one consolidated shipping fee. Q3 also marked another strong quarter for our advertising business. Total advertising revenue grew 24% to $366 million. First-party ads grew 36% to $345 million or 36 points faster than FX-neutral GMV growth. Over 2.3 million sellers adopted a single ad product during Q3, and we currently have over 850 million live promoted listings. Promoted Listing Standard, our cost per acquisition ad unit, was once again the largest contributor to growth in Q3, driven by continued optimization of placements, ad rate improvements, and the recurring benefit of the halo attribution change we discussed last quarter. Promoted Listings Advanced, our cost-per-click product, was the fastest growing product in our ads portfolio on a year-over-year basis. PL Advanced continues to benefit from the simplifying and automating of core elements of the campaign setup and management processes. In September, we launched Smart Targeting for PL Advanced, which makes creating and managing CPC campaigns easier than ever. Previously, these campaigns took a lot of time to set up and manage, as sellers had to manually select keywords and manage campaigns individually. Now, through Smart Targeting, eBay uses AI to manage keywords on behalf of sellers and optimize campaigns dynamically, all with just a few clicks to set up. As part of the Smart Targeting launch, we've also extended CPC ads to the Similar Items Recommendations module when users are viewing another item, using fully automated targeting and bidding technology. Moving to our third pillar, Magical Innovations. Last quarter, we discussed our Magical Listing experience, which represents the biggest transformation of the eBay listing process in our 28-year history. For over two decades, two of our biggest focuses were at odds with each other, making it as simple and fast as possible to list an item and ensuring listings are rich and comprehensive to maximize sales. Now Generative AI allows us to leverage our treasure trove of images and listing data to quickly create compelling listings. Early users have told us these capabilities will unlock more of the inventory in their closets and garages, which could ultimately keep more products out of landfills. The first phase of our magical listing experience leverages Generative AI to instantly populate the item description within the listing flow based on a product's title, category and other aspects. This feature rolled out to 100% of mobile app users in the U.S., UK, and Germany during Q3. In October, we extended the Generative AI descriptions to 50% of desktop users in these countries. The first phase of the magical listing experience has been incredibly well received by sellers as usage, adoption, customer satisfaction, and content acceptance rates have all been higher than expected. As much as sellers have enjoyed the first phase of Magical Listing, we believe the next iteration will be so simple and easy to use that all of our sellers will love it. This experience will enable sellers to point their camera at an item, take a photo, and eBay does the rest. Behind the scenes, we have powered this experience with our proprietary computer vision technology and Generative AI to seamlessly populate the description, category, and any other item aspects. Our camera-based magical listing experience has been in employee beta for several months and is currently in a limited beta with a number of large sellers. Feedback from our beta sellers has been extremely positive, as they found the new experience intuitive and easier to use. We are incredibly excited to bring this experience to more sellers over the coming months. As part of our magical listing initiative, we also rolled out a vastly improved background removal tool powered by AI during Q3. Sellers have told us that simpler, cleaner images of their products have a significant impact on conversion. Our enhanced tool has now rolled out to all users in the core listing flow, and sellers have told us they are already noticing significant quality and performance improvements from the revamped tool versus our prior version. Overall, I'm incredibly pleased by the progress we are making across all three pillars of our strategy. It is particularly encouraging to see how recent advancements in AI and machine learning can help us address more long-standing pain points for sellers and buyers on eBay in efficient and scalable ways. Next, I'd like to highlight the impact we're having on the communities we serve. In Q3 we released our Second Annual Small Business Report, which examines the sentiment of our global sellers. Despite macroeconomic uncertainty, eBay sellers are confident they can build their businesses and give back to their communities. In fact, more than half of eBay sellers expect their overall business to grow in the next 12 months, and over two-thirds expect their businesses on eBay to increase over the next five years. We also recently announced the winners of our Up & Running Grants. This program is currently in its fourth year and provides entrepreneurs with capital to invest in their businesses, along with training and mentorship to help them grow and thrive. The third quarter also marked the 20th anniversary of eBay for Charity, a program created as a way for people to give back during times of crisis. It has evolved to a global platform supporting countless organizations and causes, and raised more than $1.3 billion for nonprofits to date. In Q3 alone, the eBay community raised $40 million, up 16% year-over-year. All of these efforts demonstrate our purpose-driven community, and we are honored to be recognized for our progress. We're proud to be ranked on the U.S. News & World Report's inaugural list of best companies to work for. eBay was also recognized as a top corporate philanthropist by the Silicon Valley Business Journal and San Francisco Business Times. In closing, I'd like to thank our extraordinary eBay team for delivering another solid quarter and continuing to innovate for our customers. We made significant progress against our long-term objectives during Q3. Our accelerating pace of innovation is fundamentally changing the eBay experience, driving higher customer satisfaction, and paving the way for new growth and revenue opportunities. As the macro environment remains uncertain, we'll be balanced in how we invest in the future, prioritizing our highest ROI investments in order to generate long-term shareholder value. With that, I'll turn the call over to Steve to provide more details on our financial performance. Steve, over to you.
Steve Priest : Thank you, Jamie, and thank you all for joining us today. I'll begin with highlights from the third quarter on slide 11 of our earnings presentation. Next, I'll discuss our key financial and operating metrics in greater detail. Finally, I'll provide our outlook for the fourth quarter and some closing thoughts before we begin Q&A. As usual, my comments will reflect year-over-year comparisons on an organic, effect-neutral basis unless I note otherwise. Q3 was another solid quarter for eBay as we met or exceeded expectations across all of our key financial metrics despite ongoing uncertainty in the global economy. Gross merchandise volume was down 1% to approximately $18 billion. Revenue grew 4% to $2.5 billion, outpacing volume by five points. Non-GAAP operating margin was 26.4%. We delivered $1.03 of non-GAAP earnings per share, and we generated $777 million of free cash flow, while returning $783 million to shareholders through repurchasing dividends. Let's take a closer look at our financial performance during the third quarter. Gross merchandise volume was down 1% organically to approximately $18 billion, or roughly flat year-over-year on a total FX neutral basis. Foreign exchange represented a nearly two-point tailwind to reported GMV growth. However, the U.S. dollar appreciation during the quarter created a GMV headwind of more than $100 million versus rates implied in our Q3 outlook. Focus categories continue to drive underlying momentum in our business, growing roughly seven points faster than the remainder of our marketplace. P&A was once again the largest contributor to growth and maintained mid-single-digit GMV growth for the third straight quarter, in line with market rates of growth for this segment of e-commerce. eBay Refurbished was the fastest-growing focus category on a percentage basis, while GMV growth in our Luxury focus categories was positive for the third straight quarter, as our combination of value and quality has served customers well in the current economic environment. Next, I'll walk through our results on a geographic basis. U.S. GMV was down 2% organically in Q3, an improvement of over two points sequentially. On a total FX neutral basis, U.S. GMV was down 1%. Although the U.S. economy has been more resilient than our other markets, demand for discretionary goods continues to be impacted by the cumulative burden of elevated inflation and the highest interest rates observed in over a decade. U.S. consumers are increasingly seeking value, which has shifted some demand to inventory offered by our CBT sellers. International GMV was roughly flat on an FX neutral basis, and at nearly 4% as reported. Our international markets continue to experience more severe macroeconomic pressure than the U.S., with the UK seeing consistently negative e-commerce growth since early 2022, while Germany has now faced multiple quarters of economic contraction. This pressure has been mitigated by continued strength in cross-border trade, which offset far weaker trends in Europe. Moving to buyers, trading 12-month active buyers was stable quarter-over-quarter at $132 million. On an organic basis, active buyers remained at approximately $131 million for the third straight quarter. Enthusiast buyers were also flat sequentially at $16 million. Spend per enthusiast was stable quarter-over-quarter at around $3,000 annually, but modestly year-over-year. Turning to revenue, we generated revenue of $2.5 billion during the third quarter, at 4% organically, outpacing volume by five points. Total FX neutral revenue growth, inclusive of M&A was 5%, while currency had a de-minimis impact to reported growth. Our take rate was 13.9%, down modestly quarter-over-quarter, but up nearly 50 basis points year-over-year. The combination of FX and the ads revenue recognition change in Q2 represented a sequential take rate headwind of over 10 basis points in Q3. Advertising was again the largest tailwind to our take rate on a year-over-year basis, and also quarter-over-quarter after adjusting for the Q2 accounting change. eBay International Shipping and recent M&A in aggregate added five basis points to our take rate sequentially. Total advertising revenue grew 24% to $366 million and reached just over 2% penetration of GMV. First party ads grew 36% to $345 million or roughly 36 points faster than FX mutual volume. As noted last quarter, the revenue deferral release for CPC ads in Q2 created a sequential headwind of $9 million to first party ad revenue growth in Q3. While we are pleased with the continued robust growth in promoted listings, year-over-year growth decelerated slightly as we lacked a notable acceleration during the prior year period, which was driven by a series of performance optimizations. Our legacy third party display ads, which have been impacted by a combination of secular and macro headwinds in recent quarters, decelerated further during Q3. In recent months, we have actively deprecated third party ads in certain circumstances to improve the user experience. Third party ads remain our primary focus as we continue to invest in scaling, optimizing and automating our promoted listings portfolio. Financial services had a modestly positive impact on our take rate sequentially. As our in-house payments capabilities have advanced in recent quarters, we have identified more opportunities for GMV, revenue and cost optimization. Adyen continues to be an incredibly strategic partner for us in financial services. During Q3, we expanded our usage of Adyen’s Merchant Acquiring Services to cover additional forms of payments. This development has positive implications for our Adyen Warrant probability, which I will discuss shortly. Moving to profitability, non-GAAP operating margin was 26.4% during the quarter, down roughly 2.5 points year-over-year. Roughly 1.1 points of this delta was driven by the combination of recent M&A and the eBay International Shipping Program. Foreign Exchange also represents the year-over-year headwind of approximately 40 basis points. The remainder of the margin variance was driven by investments in our business and modest volume de-leverage. Gross margin was down nearly 90 basis points year-over-year, primarily from the ramp of eBay International Shipping. Within our operating expenses, we observed a 1 point increase in product development expense as we invested in product and engineering talent to drive innovation across eBay. Sales and marketing was down modestly as a percentage of revenue year-over-year in Q3, as our investments in full-frontal marketing initiatives were offset by cost efficiencies, including lower spend on coupons and incentives. During the quarter, we also accrued an additional $50 million to G&A expense on a GAAP basis related to pending legal matters. This adjustment is reflected in our non-GAAP reconciliation, while additional details on the accrual will be provided in our 10-Q filing. We continue to focus on driving expenses out of the business, which is a crucial part of our path to long-term sustainable growth. And where we do choose to invest, we are able to partially offset that with OpEx savings given by our structural cost program. Turning to our balance sheet and capital allocation, we generated free cash flow of $777 million in Q3, up 23%. Our balance sheet position remains robust, as we ended the quarter with cash and non-equity investments of $5.4 billion and gross debt of $7.7 billion. We repurchased over $650 million of eBay shares at an average price of approximately $44 during Q3, and had $1.7 billion remaining under our current buyback authorization at the quarter end. We paid a quarterly cash dividend of $132 million in September or $0.25 per share. Since the beginning of 2022, we have returned nearly $5.2 billion to shareholders through repurchasing dividends or roughly 125% of cumulative free cash flow over that period. We generated non-GAAP earnings per share of $1.03 in Q3, up 3% year-over-year, benefiting from a nearly 4% reduction in share count from our repurchase. We delivered GAAP earnings per share of $2.46, with a delta driven by unrealized gains on our equity investment portfolio, primarily from Adevinta. Our investment portfolio is detailed on slide 21 of our earnings presentation. Our major equity investments and warrants were valued over $4.5 billion at the end of Q3. Our $404 million Adevinta shares were valued at roughly $4 billion, at more than $1 billion versus the prior quarter. As we disclosed in late September, we have expressed support for the proposal made by the Consortium of Investors to Adevinta, under which we would retain a portion of our current holdings. As these discussions are ongoing, we are not in a position to provide any further comments on this transaction or the implications of such a transaction to eBay today. Our Adyen [ph] warrants were valued at nearly $200 million at the end of the quarter. As a reminder, our warrant value was calculated based on several assumptions, including Adyen share price and the probability of our remaining warrant tranches vesting. During Q3, the probability of vesting was positively impacted by an evolution in our usage of Adyen’s products and services. The three remaining warrant tranches now carry probabilities ranging between 0% and 95%. However, the increasing probability was more than offset by a price decline in Adyen shares during the third quarter. Moving on to our outlook, although our third quarter volume trends were slightly better than expected, we did observe softening consumer demand in September that carried through October. This macro softness was most pronounced in Europe, particularly in the UK and Germany, our second and third largest markets, respectively. We have also seen tapering demand in the U.S. market quarter to-date. Given these trends, our base case expectation is that continued pressure on discretionary demand will lead to a relatively muted seasonal uptick in volumes during the holiday season. For the fourth quarter, we expect to generate between $17.9 and $18.3 billion of GMV, representing an organic FX neutral decline of between 4% and 2% year-over-year, or spot growth between negative 2% and flat. The strengthening U.S. dollar also creates an incremental FX headwind to fourth quarter GMV of roughly $400 million versus our prior guidance on a spot basis. This is on top of more than $100 million FX headwind to Q3 GMV. On a sequential basis, we estimate FX will represent over a one-point headwind to GMV growth and nearly one point of pressure to revenue growth. We anticipate Q4 revenue between $2.47 and $2.53 billion represents organic FX neutral growth between negative 1% and positive 2% year-over-year. This implies revenue will outpace volume by three to four points on an organic FX neutral basis in Q4. As a reminder, our core take rate is typically down sequentially by 10 to 15 basis points in Q4 due to seasonal ASP and category mix, although this trend has occasionally been masked by payments and ads growth in the recent past. Given our tempered outlook for Q4 volume and continued uncertainty in the global economy, we believe it is prudent to lean in more heavily into cost efficiencies to protect margins and earnings in this environment. We forecast non-GAAP operating margins between 26.1% and 26.7% during Q4, which would yield margins near the high end of our prior guidance range for the full year. We forecast non-GAAP earnings per share between $1.00 and $1.05, representing EPS growth between negative 6% and negative 2% year-over-year. At current rate, FX would represent a four-point headwind to year-over-year EPS growth in Q4, as we lack meaningful hedging gains in the prior year period. Our outlook for free cash flow of just under $2 billion this year remains unchanged. As I noted last quarter, we expect the minimum free cash flow in Q4 due to the delayed timing of cash tax payments in 2023. Our capital expenditures for the full year are expected between 4% and 5%, while our non-GAAP tax rate should remain unchanged at 16.5%. In relation to 2024, it is premature to offer specific commentary as we are in the midst of our planning process. We remain committed to finding an appropriate balance between growth and profitability to ensure we are positioned for durable financial returns in the years ahead. As such, we plan to grow expenses more slowly than revenue next year as we scale and leverage the investments we've made over the last few years. We will remain good stewards of capital as we continue to target returning 125% of cumulative free cash flow to shareholders through repurchases and dividends through 2024. We will target a certain level of capital returns from quarter-to-quarter, while maintaining the flexibility to lean in opportunistically when appropriate. In closing, our Q3 results highlight the resilience of our marketplace and business model amid continued challenges in the global economy. Our fortress balance sheet and operational discipline have enabled us to adapt to rapidly evolving demand environments, while continuing to invest for the future, protecting earnings and delivering meaningful capital returns to shareholders. I'm extremely proud of our team, for staying focused on our strategic pillars amid this uncertainty and further laying the groundwork for long-term sustainable growth. With that, Jamie and I will now take your questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Colin Sebastian from Baird. Please go ahead with your question.
Colin Sebastian : Thanks. Good afternoon. I appreciate the questions. I guess first off, Jamie, there was some discussion at the Cellware conference a few weeks back about extending focus categories to more verticals. I think home and electronics were a couple of those in discussion. I wonder how quickly we should see focus coverage grow in proportion to total listings. And if that's true, is that something that could drive volume growth through 2024? And then Steve, I just wanted to go back to some of the macro factors you reviewed, and you mentioned I think your shift towards CBT. And just hoping you could discuss some of the implications of that shift on revenues and margins. Thank you.
Jamie Iannone: Yeah Colin, thanks for the question. So as you know with focus categories, we don't pre-announce the next categories that we're going into for competitive reasons, etcetera. We do continue to roll out new areas, as well as invest back into areas of the business. So, have a look at this quarter. We launched UK authentication for jewelry in our UK business. We're actually opening up an authentication center in Japan to allow for cross-border trade out of Japan, which is great. We launched or expanded in P&A, our guaranteed fit program. So that had launched just in the U.S. We've seen great results by creating a game-changing level of trust in that category, and we've expanded that now to UK and Germany this quarter and we're excited to see the impact of that on those markets. Our other categories like refurbished continue to do well. We've seen double-digit growth from that perspective. We launched some new enhancements in trading cards this quarter with the new classification system that we've put in place and new direct submission in the Vault. So we're going to continue to balance new focus category opportunities, expansion to other categories like we did with jewelry in the UK, and like we did recently with Streetwear, as well as investing back into focus categories and what's working, because we like the ROI of those investments. Steve, do you want to take the second part?
Steve Priest: Yeah, definitely. Hey, good afternoon, Colin. So in terms of the negative one organic FX and growth that we saw from a GMV standpoint, there's a number of macro impacts that we're looking at. So the first thing I'd say, in September we observed some softening in consumer demand, which has carried through to October, and that helped imply the guide that we went forward with. This has been most pronounced in Europe. A couple of our biggest markets, UK is the second largest market and has continued to experience negative e-commerce growth since early 2022. Germany, our third largest market has now faced multiple quarter of economic contraction. And the U.S., as I said, we're starting to see some softness and we would expect the holiday’s period to be a little bit more muted. So when I look back on the third quarter and the dynamics that were at play, U.S. GMV declined 2% on an FX organic basis and international was roughly flat. The European softness has been helped by some of the CBT trade that we've seen that has been resilient. Think about consumers looking for value and the cross-border trade coming out of the Far East has been more resilient, and as a reminder for our investor community, the GMV is measured where the seller is domiciled. And so you've got softness in Europe, we're lapping through some of that dynamic, but the strength in CBT has sort of helped the international dynamic in Q3.
Colin Sebastian : Great. Thank you. I appreciate that.
Operator: Thank you. Our next question comes from the line of Ross Sandler from Barclays. Please go ahead with your question.
Ross Sandler : Hey. Steve, just to follow-up on that macro comment. As you guys look across different discretionary categories and price points. Do you think it's just mostly like the macro conditions you described with the consumer weakening around GDP, etc. or are any of these new competitors like Temu and Shein having an impact at the low end as some of your peers have flagged? And then the second question is pleasantly surprised and happy to hear about the operating margin increase next year. So can you just flush that out a little bit for us, is that a function of lapping some of the international shipping investments and kind of discrete R&D investments? What other factors might drive that op margin increase next year? Thank you.
Steve Priest: Thanks, Ross. I'll kick off the macro one and then Jamie can add, and then I'll cover the margin question. So from a macro basis, just to reiterate, we did see at a macro level, softening in September. Seeing that continue through October, we describe Europe as being softer from an overall perspective based on the macro data that we all see. The U.S., we have continued to see some softness across the board, and it's really a function of discretionary spend. As consumers sentiment is down, inflation is up and obviously the impacts of interest rates. Jamie, maybe Ross's question?
Jamie Iannone: Yeah. No, I don't think it's in particular any specific other competitive thing. Like your question on Temu, we’ve not seen a significant impact from Temu or Shein on our business. When we look at our cross-border trade as Steve talked about, it continues to remain healthy. We believe that's because of our differentiated strategy and our approach. If you remember, we've been talking about this for a while. We've been strategically moving away from low quality, low ASP items, and that hasn't been a focus for us for years. I think the other big difference for our platform, Ross, is that we’re – a vast, vast majority of our traffic is organic. So I think as others are implicated by kind of the paid search or other marketing spend out there in the market, we're less so and more resilient, just because so much of our traffic is driven organically on the platform.
Steve Priest: And then with regards to your question, Ross, on 24, obviously there'll be a number of puts and takes that will impact ‘24. We're in the middle of planning at the moment. The thing I would say is, we will continue to be very disciplined and get the balance right between growth and profitability. We've been making various investments over the last few years, which we will continue to leverage and scale as we get into sort of 2024. We are looking at every area of our cost structure. Obviously, in terms of external spending with suppliers, we've been very measured in terms of our approach to the structural cost program this year. With the influx of AI, that will really help us sort of lean in to support the operation next year and use the benefits of that as we go forward. And we can control our cost structure. I mean, we are operating in a rather dynamic macro environment and so we will lean in as we said, and make sure that our costs grow more slowly than revenue in 2024.
Operator: Thank you. Our next question comes from Nikhil Devnani from Bernstein. Please go ahead with your question.
Nikhil Devnani : Hey guys, thank you for taking the question. I had a couple, please. Just following-up on that operating leverage theme, as you think about prioritizing kind of the highest ROI investments next year, what initiatives are really making that top of that list? And which ones are you maybe more willing to push out a little bit if times get tougher? And then on the focus categories, it's kind of nice to hear the market share stability. When you observe what's changed pre and post your improvements, is this a function of conversion rates functionally improving or are you also now able to kind of drive better traffic to those focus categories?
Jamie Iannone: Yeah. So first on the initiatives, we're still obviously in planning for next year. But I'd say a couple of things. As Steve talked about the cost structure, one of the things we're looking at is how do we leverage AI and technologies so that our costs don't grow as our volume grows? So I'll give you an example of, one of the areas we've been investing a lot in is our customer support. And so if you look at like our GCX expenses, our customer support expenses, we've been rolling out conversational help bots over the course of the last few quarters, really advancing what we're doing there so that we can, focus a lot of our efforts into handling more calls and greater volume with higher customer satisfaction. As an example, we just launched that as a trial in Germany. We've had that live in some of our English markets. An example of some of the initiatives that we're going to do next year to manage the business and make sure that as Steve said, we're going after the growth opportunities in the business, while being prudent about our expense structure. When you think about focus categories and what's driving the success there, I would say it's a couple of things. One is that, if I look at like for P&A, for example, this is our third quarter of seeing mid-single digit growth, which is in-line with markets. And we're just now launching Guaranteed Fit, which is one of the big value propositions for us in that category, to our markets, our second and third largest markets in UK and Germany, where we do have a leading marketing position from that standpoint. And what we're seeing is that, the new work that we've been doing in Fitment, for example, has really been helpful. I talked about 2 billion new Fitment combinations based on my Fitment, and then our sellers are seeing double digit increases in their conversion. So to your point I think, we're doing a better job with our full funnel marketing in each category, acquiring enthusiasts into those categories. And then when we bring them on, we're having a better experience for them in converting them into sales and converting them into repeat buyers, because of the changes we've made in trust, because of the changes we've made in the experience. I mean, think about like our luxury category. This is the third quarter where we're seeing positive growth in luxury, even in this market, and you're seeing kind of what's happening and what others are saying. And it's because of the customer value proposition that we're bringing to these categories that we're seeing those results. So we're going to continue to innovate and push forward on that strategy, because we like the results that we're seeing and the consumers responding. And then we're enhancing the focus category work with a lot of site-wide investments. And those site-wide investments not only help us in focus categories, but they help us in our other core categories in the business. So I'd use the example of magical listing. It certainly helps sell a sneaker faster or a training card or a watch or a handbag, but it also helps sell a musical instrument faster or a board game or a book or all the things that people sell on eBay, because we're taking so much time out of the listing process that we're looking to unlock more of what's in people's closets, garages and basements with this technology. And we think that those investments will help both focus categories and our other core categories on the business.
Nikhil Devnani : Thanks, Jamie.
Operator: Thank you. Our next question comes from the line of Thomas Champion from Piper Sandler. Please go ahead with your question.
Thomas Champion : Hi, good afternoon. Jamie or Steve, I'm wondering if you could just talk a little bit about EIS and how that is performing relative to your expectations around transactions or inventory and how the cost drag is performing and whether you're making progress there. And then maybe Steve, specifically for you, notice the buyback uptick this quarter. Can you just walk us through the thought process behind that? Thank you.
Jamie Iannone: Yeah, thanks, Thomas. So look, on EIS, we love the success we're seeing in the program. It's making cross-border trade much easier on the program. eBay handles everything for the seller, the customs, the duty forms with buyers. We intermediate the returns, and we protect sellers from item not received complaints. So we continue to ramp the program over time. Half of our big three inventory is not available to be shipped internationally, so we're excited about the goal of this program, which is basically make it super easy for sellers, so they don't have to think, and we handle all of that cross-border trade for them. We continue to scale it during Q3. We now have over 400 million live listings. We launched some new features with the program, for example, the ability to combine shipping. So for example, I was with a seller or a buyer, a collectible buyer in Japan of trading cards, whose buying trading cards out of the U.S. Now he can buy multiple trading cards. We can combine them in a single shipping invoice, just making the whole EIS program a lot better. The last thing I'd say is that, when I look at the program overall for sellers, it has a 30-point higher customer satisfaction than the previous program that we've had. So all of the work that we did to bring things in-house last year, Steve talked about the financial implications, we're seeing that in CSAT and sellers, and we're seeing them react in terms of what's available internationally. Steve, do you want to handle the second part?
Steve Priest: Yeah, and just to say, Tom, with regard to EIS, we're really pleased with the momentum, largely in line with our expectations from a financial architecture standpoint. As we said, we expect this program to be committed to operating profit for this year, and by the year end, it will be in line with core margins on the platform. So, pleased with what we're seeing. Specifically, with regard to your question on capital returns, the duty of the eBay franchise, where we're generating just under $2 billion of free cash flow a year, gives us the ability to invest in the business, but continue to drive healthy returns to shareholders. We laid out a path to 125% of free cash flow to shareholders who stock buybacks and dividends, cumulatively between 2022 and 2024. Since the beginning of 2022, we've returned nearly $5.2 billion to shareholders, and we're roughly at 125%, so we're right on track with the commitments that we made.
Thomas Champion : Thank you, guys.
Operator: Thank you. Our next question comes from the line of Lee Horowitz from Deutsche Bank. Please go ahead with your question.
Lee Horowitz: Great. Thanks so much. Two, if I could. So, the macro environment is obviously a massive challenge for the business at the moment, but as we look out to next year, can you maybe help us better understand what leverage do you think you have at your disposal to perhaps get volumes back to even modest growth if the macro environment proves to be persistently weak in the medium term? And then, just to contextualize some of the comments around slower cost growth into next year relative to revenue, I think investors will be pleased to hear it, but is this a more cautious stance on investment impacting in any way the pace at which you think you can roll focus category coverage out over the next 12 to 24 months, or are those investments already fully baked and the pace shouldn't be impacted in any way? Thanks so much.
Jamie Iannone: Yeah. So, I would say a couple things. One is we're not going to get ahead of ourselves on 2024 and talk about that on this call. We've laid out the strategy that we have for expanding focus categories for the site-wide investments that we're making, and we feel really good about what we're driving and the underlying changes in the business. On the expenses side, I wouldn't think about it as pulling back in areas that we think will drive growth in the business, but more what I talked about earlier, which is finding opportunities to create leverage out of the model. When you think of things like cost of payments, when you think of things like how we're going to use AI to enable our – the efficiency of the organization, you know, the whole motto here is ‘control what we can control.’ And, that's why we think we've planned for the architecture that Steve laid out, and we're really not going to get ahead of ourselves on anything more from 2024. But our main goal, and we've been doing this through the structured cost program, is to drive efficiency in the organization without driving the key layers, the key levers and the innovations that have driven growth on the platform.
Lee Horowitz: Helpful. Thank you.
Operator: Thank you. Our next question comes from the line of Michael Morton from MoffettNathanson. Please go ahead with your question.
Michael Morton: Thank you. I appreciate the question. If we could start maybe with authentication. For a few quarters now, you've highlighted as a headwind to gross margins, which makes sense. And I'd love to note, this is a line item that we should expect to see some leverage on as we go forward in the future. It's just tricky to think about as we're all like marketplace analysts, right, And there's really high income and margins. But when you're doing something like authenticating, like if you double the amount of shoes you're authenticating, like if people are touching boxes, its inventory. So any thoughts there on how we should think about that line item going forward in the next 12, 24 months? You don't need to get too detailed, but just the leverage aspect. And then just talking about the leverage that you saw in sales and marketing, I understand and appreciate that you have a lot of direct traffic, but so do some other marketplaces that have seen a lot of increased competition across social, in search. So just impressive to see that leverage and would love to – and I know you guys have invested in full funnel advertising over the last 12 months to really get your improved product out there. So just to help us understand how you're seeing that leverage when other marketplaces are having such a challenging environment would be great as well. Thank you.
Steve Priest: Hi, Michael, I'll pick up the first one. So we've been really pleased with the levels of trust that we are continuing to build on eBay, particularly focused around our focus categories. And so the first thing I would say is thinking about authentication as a trust metric that's really driving CSAT. And so it's a great return on investment, because it's not just about the category that one shops in, but also it's about the cross-category shopping that goes away from that. So every consumer that spends about $400 of sneakers on the average buyer spends $2,000 elsewhere on the platform. And it's really the fact they get attracted to it. So you should be thinking about this as an investment that we're making and the requisite return on investment. The second thing I would say is it's not just about authentication, because some people look into eBay and think it's all about authentication. Fitment is to P&A and warranties are to seller refurbished and certified refurbished, which authentication is to watches, sneakers and handbags. And so we're continuing to, (A) get scale as we're sort of driving this through the overall platform, but also we're getting the benefits of trust and the benefits of cross-category shopping as we go that forward. So it continues to be relatively de-minimis, but I would think of it as an overall return on investment. Jamie, do you want to pick up the question with regards to the traffic?
Jamie Iannone: Yeah, look, we've shifted our marketing strategy as we've talked about, and we're telling our story in new and different ways. Rather than focus on those large brand campaigns, we've been doing really targeted marketing spend to enthusiasts in our focus categories through this full funnel approach, using a real full funnel, mid, lower, upper. And all of that full funnel makes our lower funnel work harder. We've been doing partnerships with influencers, leveraging social media in better ways. And so the whole shift in our marketing strategy is not to just go after kind of active buyers and a big brand campaign, but really market the value proposition that we have on the platform with a really targeted approach to go after enthusiasts in that category. And that's why I think you're seeing the results that we've talked about in P&A, which is our third quarter of in-market lines of growth in the mid-single digits is because of the effect of the marketing programs.
Steve Priest: The other thing I would add is just the size and scale of eBay and the general operation efficiencies we get with this. To Jamie’s point on full funnel marketing, we get to a point where we've got paid, owned, and now earned marketing across the board, which really brings additional consumers to eBay and continues to drive that level of trust on the platform to ultimately drive the underlying GMV momentum.
Michael Morton: Thank you.
Operator: Thank you. Our next question is from the line of Eric Sheridan from Goldman Sachs. Please go ahead with your question.
Eric Sheridan: Thanks so much for taking the questions. Maybe two if I could. Going back to the comments on the broader softening of the e-commerce environment, how does that typically show up in your model? When you think about what you've seen in the UK or Germany, is it slower buyer growth? Is it less velocity or repeat behavior on the shopping level, is it basket size? How should we be thinking about the signals you're watching for elements of the softening versus what might be a recovery as we move through Q4 and into next year? That would be number one. And then when you look about the seller services side of the equation, I know you've made a lot of progress on ads and payments and shipping. What do you think the biggest friction points still are to continue to solidify the seller services side of the equation for the marketplace, especially if the macro environment does become a little more uncertain and sellers are looking for assistance from marketplaces? Thanks.
Steve Priest: Hi. Good afternoon, Eric. I'll take the first one. It generally shows up in traffic, as you would imagine. When you think about eBay and consumers looking at discretionary spend and the wallets generally get a little pressured, that's really where it tends to show up. If I reflect on our business, and let's not forget, half of eBay's GMV is generated outside the US. And if you think about Europe, you think about the likes of the UK and Germany, our second and third largest markets. When you look at the data in terms of e-commerce, excluding grocery, UK was shrinking at three points in September and Germany was down minus seven. And so we're seeing quite a precipitous decline in some of that e-commerce growth out of those couple of key markets. And invariably, as those consumers continue to get pressured in their wallets, it has an ultimate impact on traffic and discretionary spend. Jamie, in terms of the other items?
Jamie Iannone: Yeah, on seller services, Eric, it's really been across the board. If you think about our B2C sellers, it's been a key focus for us for over three years now. We started with eBay stores and a lot of innovation that we did when I first got back to eBay. Since then, we've been building out the ad portfolio, as we've been talking about each quarter. We continue to enhance our shipping profile and our shipping services. So one example is like in our P&A category, we now have the ability for a B2C seller to say, I have multiple warehouses that I can ship out of, and we'll ship out of the one closest to the buyer to get it faster to the buyer. In our German business, we just launched a more expedited returns process, which helps sellers manage returns in easier ways. EIS is helping them get more global scale demand. Payments is giving them more payment choices. So, when you think about it, I was just with a seller in Australia who sells tires, and he's like, I love the integration that you guys did with Afterpay, because in this economy, a lot of people buying a new set of tires are using the buy now, pay later solutions. So I would say it's a combination of all of the things that we've done that are really being great services for B2C. At the same time, we've been investing a lot in the C2C experience with things like the magical listings, really letting them list with a whole lot more ease. As I've talked about last quarter, the customer satisfaction for a brand new product there is amongst the highest I've ever seen. And what casual sellers are telling us is this is going to allow them to unlock more inventory because of how easy we're making it. And that's now scaled out to 100% of our business across U.S., UK, and DE. So we continue to invest a lot in our sellers. We continue to grow the number of live listings on the platform, and we continue to raise the customer value proposition that we're giving them on eBay.
John Egbert : Operator, can we do one last question, please?
Operator: Absolutely. Our final question comes from the line of Deepak Mathivanan from Wolfe Research. Please go ahead with your question.
Deepak Mathivanan: Great. Thanks for taking the questions. Jamie, given that consumers are increasingly looking at deal shopping during this holiday season due to macro pressures and inflationary environment, some of the other e-commerce platforms like Etsy are kind of incentivizing sellers to step up discounts and are also doing promos on their own to drive volume. Is that something that eBay can do? Do your buyers react to this? And do you see opportunities to maybe mitigate some of these macro pressures with product initiatives if this kind of persists for a while next year? And then now maybe one quick one for Steve. Steve, can you help quantify the cash outflow due to the taxes in 4Q? Is that a constraint to kind of stay on your buyback cadence for 4Q or any additional color you can provide? That would be great. Thank you so much, guys.
Jamie Iannone: Yeah Deepak, the only real couponing and promotion stuff we do, we do it in conjunction with our sellers, where they are kind of funding those coupons. And that does work, and that's in partnership with our sellers. We sometimes also do that with our external promotional listings products that we've been talking about, one of our new ad products. But we really moved away from the couponing that was unhealthy that we did back in 2019. And we have no plans to reintroduce that type of couponing because it wasn't driving the type of ROI that we wanted. The bigger point for eBay overall has been the shift in strategy to focus on used, non-new in season and refurbished. Because when customers face these inflationary environments, they're continuing to look at eBay for better value. Our refurbished business is up double digits, because people are getting like-new products for 40% off. Our used business is growing faster than our new business, because of the demand that people see and the values that they can get on eBay. So we just did a survey, and we found that 90% of consumers that responded to the survey said that they purchased pre-loved goods on eBay in the past year. So our play on value is really the new strategy of what we're going after of driving those businesses, and that's what's resonating with our customers. Steve, do you want to talk about the cash implications of taxes?
Steve Priest: Yeah, obviously we talked about the free cash flow dynamics and the timing of the cash payments of ‘23 impacted by the California State Disaster Tax Relief, which has shifted our cash tax payments to October versus that’s being paid during Q2, Q3, and that's really the reference point we were talking about. We don't get into sort of forecasting buybacks on a quarter-to-quarter basis. Really pleased with the continued momentum we've got on that at around 125%, and that's really an average over the cycle that we talked about. But we're bang on track and happy with where we are.
Operator: Thank you, ladies and gentlemen. We will conclude today's conference call. Thank you for participating. You may now disconnect.